Operator: Ladies and gentlemen, thank you for standing by and welcome to the Total Q1 2020 Results Conference Call. At this time, all participants are in a listen only mode. Today, there will be two presentations. Total's first quarter results, and 2020 action plan update followed by a question-and-answer session. Then a presentation on Total's climate ambition, followed by another question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today. And I would now like to hand the conference over to Mr. Patrick Pouyanne, Chairman and CEO of Total. Please go ahead, sir.
Patrick Pouyanne: Good afternoon, everybody. Welcome to our Q1 conference call, and let me start by saying that I hope that all of you and your families are safe in front of this pandemic, which is COVID-19 and that you are coping well in these extraordinary times. I really think that the word, extraordinary is the right word to literally sense, I would say, as none of us never thought we could experience such macro environment, such an oil price crisis at the same time. So we have a lot of ground to cover this afternoon for this call. So it's why I joined Jean-Pierre, not to leave him alone and to cover virus crisis that we are facing. We are facing again this healthcare crisis and our priorities of the health of all our people and the continuity of our operations. And I would like to just to say, to pay a tribute to all the efforts and commitment and responsiveness of all our teams around the world. We are working together to ensure the continuity of our operations during the crisis, really, they are doing a great job. So thank you to them, all of them. The second price is, the oil price crisis, it's unprecedented, I would say. I had in my speech, I always say there is volatility and we experienced volatility is difficult. I know that the oil industry would like to see a stable world. I think we are absolutely enabled in this industry to stabilize anything. We will come back on it and it has of course some consequence that is, which is financial framework of our company and we will come back on it with the update of the action plan. But I just would like to tell you, that of course for the fast past five years, we have strengthened our balance sheet, we have high graded our asset base, we have lowered our breakeven and so fundamentally and I will come back on that, we consider that Total is very well positioned to weather this storm. I would even add but myself I become a veteran of tough times. I took my position in 2014, just before the first downturn began. So we begin to have some good wishes to face the situation and fundamentally and what we believe, it's that priority should be given to self help. This is I think the sense of all the plans we will present to you. But at the same time, as you know, we are also to prepare the medium and long-term with cash flow, but we have this immediate and short-term challenges and which means, of course, the evolution of the energy landscape and the climate policy. So that's clear that we have work and together today by the way, I think it's a good symbol, but at the same time, we speak about immediate channels and action plans and also medium and long term, we have issued a renewed climate policy, which is a result of quite a lot of work with the Board of Directors, and including the engagement with some investors of the climate action, 100-plus coalition. I will come back on it. And so I will address that issue as well in the second part, in order to avoid to mix, also the Q&A, we proposed to have two Q&A session. One, after Jean-Pierre has introduced the Q1 results and myself the update of the action plan, we'll have the first session and then we'll go to the medium and long-term because I'm afraid if we mix both, all the questions will be more on the short term than the medium and long term. But I think it's also important to have some time, so I prefer to dedicate around one hour and 50 minutes for the first part, and 45 minutes for the second part. So now I will leave the floor to - before there was P2, now it's JP2, so I'm P1 and JP2, so I need to give him nickname as well. So JP2 will give you all the Q1 results.
Jean-Pierre Sbraire: Thank you, Patrick. So, as you know, the first quarter environment was marked by a 30% drop in oil and gas prices, a 20% decrease in European refining margins and a collapse in project demand in line with the COVID-19 crisis. In this context, Total, nonetheless reported resilient results. The debt adjusted cash flow was $4.5 billion, down 31% year-on-year and the adjusted net income was $1.8 billion, a decrease of 35% year-on-year. Let's move to the production. So the Upstream production was 3.1 million barrels of oil equivalent per day during the first quarter, an increase of 5% compared to a year ago and stable compared to the previous quarter. So we continue to benefit from ramp-ups, mainly for the major offshore fields in the North Sea, Culzean and Johan Sverdrup and Egina in Nigeria, as well as our LNG giant fields like Yamal and Ichthys. So, the contribution of these ramp-ups were partially offset by the security situation in Libya, the redevelopment of the Tyra Field in Denmark, and natural decline although 3% per year. Our Integrated Gas, Renewables and Power segment, so IGRP reported again strong first quarter results. Adjusted net operating income was $0.9 billion, an increase of more than 50% year-on-year. In addition to higher volumes, this strong results reflects the resilient pricing of LNG in our portfolio notably, the contract sales. It reflect as well the value of global integration including the increased use of European regas capacity and the strong performance of LNG trading. Renewable activities increased their contribution as well during this quarter. As you know, we are committed to procuring high quality growth for this IGRP segment, which is key to the energy transition and to further diversifying our integrated model, notably into low-carbon electricity and I know that Patrick will come back on that later. The stability and sustainability of the IGRP contribution strengthens our performance, particularly since the low-carbon electricity business is outside of the oil price cycle. In the first quarter, we continue to expand IGRP along the entire integrated gas and low-carbon electricity chain. LNG sale increased by 27% year-on-year, close to 10 million ton in the first quarter, thanks to the ramp ups of Yamal and Ichthys, as well as the startup of the first two Cameron LNG trains in the U.S. Growth installed renewable power generation innovation capacity increased by almost 70%, low-carbon electricity generation increased by 10%, we continue to grow our customer base rapidly at 9% in the quarter and we announced almost 6 gigawatts for few projects. Let's move to E&P segment. So this segment generated adjusted net operating income of $0.7 billion in the first quarter, down from $1.7 billion a year-ago. So, how can we explain this $1 billion decrease, is due mainly to the price environment of course and the deterioration of the oil and gas prices that has a negative impact of about $1.2 billion. And these effects was partially compensated by the increase in volume, mainly from the ramp-up I mentioned already. Important I think to point out that E&P maintain continuity of normal operations throughout the quarter. We had no virus-related stoppages and significant supply chain issues. We are making progress on the major projects under construction and we announced by the way two discoveries in Suriname, plus one in the U.K., North Sea. Refining and Chemicals generated $0.4 billion of adjusted net operating income, down 50% compared to the same quarter last year. R&C was impacted obviously by the 20% decrease in refining margins reflecting weak product demand and by the reduction in refinery utilization to 69%. The Feyzin refinery in France, the Satorp refinery in Saudi Arabia were both shutdown for plant maintenance in the first quarter. And as you know, the deterioration unit at Normandy we mentioned down after the fire incident occurred last December. Petrochemicals had better than refining benefiting from the lower feedstock costs. Steam-cracker utilization was above 80%. Marketing & Services generated $0.3 billion of adjusted net operating income, a decrease of 12% compared to the first quarter 2019. M&S, Marketing & Services was also affected by low project demand, notably in China during the quarter because of COVID-19, but also in France in March. Sales were down 10% year-on-year, driven mainly by 11% decrease in Europe. For the Group, the first quarter adjusted net income was $1.8 billion compared to $2.8 billion in the same quarter last year and as already explained, this reflects the impact of lower oil prices, lower refining margins and lower demands. The Group debt adjusted cash flow was $4.5 billion compared to $6.4 billion in the same quarter last year. This $2 billion decrease was driven mainly once again by the drop in the oil and gas prices, more or less $1.5 billion effect and the decrease in downstream cash flow for an effect of $0.6 billion. In addition, dividends from equity affiliates were lower year-on-year due to the environments and timing effects. Let's move to investments. So net investments during the first quarter were at $3.7 billion, organic CapEx at $2.5 billion, down 12% compared to the first quarter 2019 and net acquisition were $1.2 billion in the first quarter, so $1.6 billion of acquisition mainly for Adani Gas Limited in India and the second tranche on Arctic LNG 2 in Russia and asset sale for $0.5 billion, mainly the Block CA1 in Brunei that we sell to Shell and interest in the Fos Cavaou regas terminal in France. Since the start of 2019, we sold $2.5 billion of assets and we announced a further $0.7 billion which are still to be closed. But given the less favorable context of asset sales, particularly for upstream assets, we are re-classifying the asset sales program to infrastructure and real estate. The balance sheet remains strong with 21% gearing at the end of the first quarter. Gearing was negatively impacted by the working capital builds in the first quarter of $2.7 billion. This working capital builds is mainly due to seasonal or temporary effects and I will give you three elements that contributed to this working capital builds during the first quarter. So first, our gas and electricity B2C business generates more receivables from our customers in winter time when consumption is higher. The second element of this explanation is directly linked to the environments, the tax liability of our subsidiaries, particularly in Marketing & Services segment were reduced in Q1, and on top of that we had our trading entities that were building the stocks to benefit from the contango in the markets to prepare the future and we hope that, of course, that it will be completed in additional results in the future. Having said that as the working capital is a critical element for Group's cash, we have put together an action plan focusing on working capital release and we made the decision by the way to incentivize our manager on their performance regarding the working capital. By year end, in the $30 per barrel environment, we anticipate $1 billion working capital release. Let's move to our net liquidity. So this net liquidity at the end of the first quarter was $21 billion. So it is $9.5 billion of net treasury. So I mean, the cash minus the debt that has a maturity less than 12 months plus $11 billion of undrawn credit lines. And in April, we reinforced this liquidity by adding - sorry, $10 billion of additional funds, so we issue more than $3 billion of long-term loans on the market at competitive terms and we drew $6 billion out of a newly negotiated with clients. So, summarizing the first quarter results, our business segments were resilient in a weaker environment and the strong balance sheet, the low cash flow breakeven puts us in a favorable position to cope with the challenges ahead. And I leave the floor to Patrick to define the way forward.
Patrick Pouyanne: Okay, thank you JP2. We are good like the results, which were quite resilient in this difficult environment. But the Q1 results, let me be clear, may be the best of the year and we don't know where we go, but I can anticipate that the Q2 results will be much lower because in fact in Q1 when we look to the impact of the COVID-19 it was mainly for business in China and M&S during the first two months. And I would say since March 6, for the rest of the Group, so it's more or less one month, I would say, which has been really impacted plus some inventories effect by the end of the quarter. But I think Q2 will be more complex and it's why by the way we made something today, I will make something today, which is quite unusual, which is to give you more guidance. But all we can see the year to be honest, is not a very good easy exercise because with extraordinary circumstances are characterized by a lot of uncertainty and the way we can, the economy can exit, European economy, U.S. economy will exit from this special period of confining will be as quick as in China or not. A lot of question marks. But I think it was good to give you more guidance and to correct a certain number of anticipation compared to what we told you in February. So first I will you use few slides. The first slide is of course to tell you that we are facing with all teams of the Group around the world, this COVID-19 challenge and priority being of course the health of all our people and again the continuity of our operations in safe - in a safe way. So a lot of people and also our employees are working from home and it works. I would say the IT systems of the Group are also resilient. We kind of have more than 20,000 people working same time from distance, it's working well. We have also, of course, reorganized all the operations on the ground with a more rotating teams in order to be sure that they don't cross each other. We have taken some measures to put in terms of protective equipment, masks are mandatory in the company, you cannot enter into any site of Total without having, if you have a temperature which is abnormal and we take the temperature of everybody coming, so, and of course we dispatch company sanitizer gel and we also organize we are by the way in today in France, we organized all the offices and on other sites in order to be able to keep a social distance between the people, which is a, I would say what is required by the health authorities. So this is of course obliging us to find new ways to work, but it seems to work, and thanks to the efforts of everybody. Operations we have implemented some business continuity plan, which means that we have in our subsidiaries limited staff to what is essential people looking to, we can ensure again all the production of the sites and the access - maximizing the availability. We control, of course strictly the access to the sites on all the offshore platform. There are some - if we think there is a risk, a PCR testing, we put the people in quarantine before they go offshore, so actions have been done in order to ensure that continuity. Customers is also important, our retail network is open at 95%, which is quite high. And unfortunately, to be honest, when I always would look to the statistics, the business is not at that level. In France, we have, we have lost almost 70% of the business in marketing, in Germany it's around 35%, 40%. But our people out there and we have reorganized there to keep the social life distancing. We continue to supply gas and electricity and we take care of course of our communities as much as we can. So we are providing some masks, some of our countries and when we acquire some of those masks, we give some of the masks, we acquire to our communities. We have put in place some special program in particular in France, but in other countries as well in order to provide free gasoline to some healthcare professionals, it's a strong, strong move in France, 1.2 million people healthcare professionals have received a card containing EUR30 of gasoline and they appreciate a lot. So it's strong, it's good to demonstrate that, I would say the solidarity which will support in this difficult times, it's a value of the company and we have to demonstrate it with our communities around us. So that's the COVID-19. Again everybody is on board and we are on the first line of this war. Then of course following slide, the oil market, this is a crisis we face. I will not make you a lot of lessons you already rethink. What I would just say is that, of course, you know that we are facing a clear over production. We have really in our industry a difficulty to adapt our production capacities and our production levels to the demand. We have even done as a contrary during one month, lowering the supply instead of lowering it. I think [indiscernible] values producing this become I've seen the dramatic effect on the oil price and have decided to take actions by putting in place some quota not only the OPEC plus countries with almost 10 million but other countries are joining the Group, including by the way a country like Canada, will come back on the Total case. Well obviously today it makes little sense to produce oil when you have a negative margin on variable costs. And so, but we, the industry is facing the situation of course I met a journalist this morning who was telling me, compared to '15, I told him it's much more an unprecedented situation because in '15 we were facing inventories growing from 58 days to 70 days. Today we have jumped to 90 days. And this is of course the most difficult part for all of us is that not only we could face shortage of inventories but more fundamentally that means, that it will take time before to be able to decreases these inventories, which means and by the way, I was in the announcement by the OPEC plus countries on April 10, what was interesting was not only the quota of 10 million barrel per day immediately, but it was a fact, that they afford to maintain quotas until the end of 2021, 6 million barrel of oil per day. And of course, this is a fact that re-changed really inventories, we put pressure on the price, again difficult to anticipate, but this is an old feeling we have. This is why again we took various situation and March 23, we presented to you and we communicated immediately our first action plan, that we need to reinforce today. Next slide. So on the next slide, back to fundamentals, which will you - I want to remind you because it's very important, it's companies entering into this crisis with different, I would say fundamental. Ours today are much better to weather the storm than the ones we were facing in 2014. Low gearing, excluding lease and around 17% and for more fundamentally a cash breakeven, which is under $25 and $22, $23 per barrel and the action plan, we will put in place, we will lower this breakeven. So these two fundamentals on which we were - I was insisting as being earlier the call for strategy of the company are giving us today competitive advantage and this time of course to use this advantage compared to other competitors. I would also say that like you see this stable but our CapEx today, our organic CapEx are half of the ones which were there. We've also some lessons learned, which was to keep some flexibility. Our flexibility in our CapEx and what would be present you is if we can quickly decide to cut the organic CapEx is because again organic CapEx part of that we are flexible and it's around $3 billion, but we can activate quickly and we can activate them, because we had the contracts designed to be able to activate, so we can stop some rig contracts in order to stop to make infill wells in Angola, or elsewhere in the world. So this was the lessons learned from 2014-2015 which has been implemented in the company in a disciplined way, that we can leverage today. But the crisis is there and the chart on the left on the right of the slide demonstrate that it's even, it's quite a big gap in terms of cash. In March, when we made our first action plan, we evaluated the peer price impact. We have taken an assumption and they're wrong of course, but the average of the coming nine months is $30 per barrel. So we took the first quarter, which was around I think $50 plus a fourth. So we see coming quarter at $30, so it's an average of $35 per barrel. In March, we only evaluated the price impact metrics, I would say the sensitivity. So it was around $9 billion, taking into account the lower refining margin, gas price. So we gave that figure to make a plan. What we have done since after this action plan, we have asked teams to re-base the budget. So there was an intense work to be done everywhere in the company. I must thank all our teams for this hard work but the idea, was of course for them, one to absorb the cost actions plans on OpEx and CapEx to confirm our first plan and to, to put it in the figure, so that it is shared and countable of it. But also to better evaluate the impact of the prices on obviously the activity, on the production on one side, on the refining on the other side and the marketing and sales. So and this came, they came back to us and today with the assumption we took with evaluated gas gap not at 9 billion but around 12 billion. This is why we need to reinforce our action plan today. So the next slide. So in terms of production, you had a guidance in February that we could raise our production by 2% to 4%. The 2% - between 2% and 4%, I remind you, that it was linked to the closing of the Anadarko assets. Today, we are evaluating all these - these - of this guidance on production. We say 2.95 million to 3 million barrel per day. It will be the kind of course of the way that the OPEC countries will implement with discipline their quota, it will be clear as a policy of Total my instruction in the Group is, we apply the quota everywhere it's required by the country. It's our interest honestly and of course, we have some countries where it hit Total like Abu Dhabi, Iraq, Nigeria, Angola, Kazakhstan less not so many, in fact, when you look the list. So we have the quota of package will have, we are voluntary reducing our production in Canada to give out our operators on dividend by two, even more on one of the field. But I think that's part of the contribution. We had also an effect which was by the way taken into account at Q1 production already the Libya conflict where we have two field, Ashara and Ward North, closed down, shutdown, only the offshore production is producing and some impact on some gas local demand that we can see because of the COVID-19 as well. So we give that guidance of 2.95 million to 3 million, honestly if all the quotas are really well implemented, it should be next to 2.95 million rather than 3 million, but it's difficult to understand or what will happen during the coming nine months. Second slide in terms of impact of activity at downstream. So there again, clearly we have an impact of the lower demand, that's true. But all refineries had some, I would say issue availability issues during the first quarter, like normally what was mentioned by Jean-Pierre that was lost because of fire at the end of last year, we had some also some turnaround in some of our plants, but today in fact, our refineries are running in Europe, but I would say around 60% more or less and we have some of the refineries, like Grandpuits, which was going out of the turnaround, we decided not to restart it for the time being like Feyzin as well. And so when we look to of course, the demand will come back when people - and the business, the economy will wake up again after this, I don't know, we say confining maybe, so people are today closed in the, they cannot really work, so their demand will come back. But what we anticipate is a utilization rate of our refinery rather around 70%, 72%, 75% compared to what we had done last year, around 85%. So it's a decrease of I would say at around 15% of utilization rates, which of course will impact the cash flow from refining. On the contrary on petrochemicals, we have clearly a better news, I would say, it's more resilient business for two reasons. One, in fact, the demand is not so impacted, demand for plastics, for food and for hygiene are quite strong today for obvious reasons. And also petrochemicals, we have some flexible crackers and we benefit in that business from, I will say, a low cost naphtha or low cost ethane. So we have a capacity to have a certain resilience and the results are fine and are good. So that's a good news, which we compensate given not fully because the size of businesses is not the same, but that's a good element. On the Marketing and Services, clearly, we are suffering hardly today during the second quarter in particular in Europe. M&S is mainly around for retail network around Europe and Africa. And in Europe we observe, I would say we think around the demand decreased by 50%, as of cash margins is around 50%. That means that if you lose 50% of your revenues, you have no cash flow out of this business during the quarter. So that's why we have an impact more or less we evaluate around $600 million. So all in all, when we look at it, the guidance we give you for the downstream cash flow for the year is around $5 billion to $6 billion. I remind you in February, it was $6.5 billion. I think, we gave you $6 billion to $7 billion, so it's $1 billion of difference. We'll see maybe we are little pessimistic with the $5 billion, but it's difficult to anticipate and I think it's good to give you such a better vision of where we go for the next - for the rest of the year. So then, so that means that we have to put - to upgrade, I will say, to update and to upgrade the response to the environment. In Total, we strongly believe with the philosophy that we have to help ourselves, so we have to take actions by ourselves. Maybe you have noticed, but I was one of the first CEO in France to say that we are not asked anything, any help from the state, no form. I think, it's good to believe to have the self to keep our independence and to be able to because the company is strong enough, the fundamental is good and we know that we can add some resilience internally. So on the capital side, the reduction we announced $3 billion in March, today we are increasing these capital savings by one additional billion. Of course, we have activated there again on the organic CapEx and it's around more than $3 billion, I would say. All that was flexible CapEx, we have also stopped some fewer feed projects which were not maybe in a less priority today. I would also say that then I will come back on it, but Occidental officially told us that we kind of acquire the IG and assets. So, but of course start of the acquisition budget, of course on the same time, maybe we are prudent. Algeria was around $2 billion. We really, we released with the everyone because we also know that the, I would say the divestment budget is much more complex to execute. It makes no sense to me and so to try to sell an asset like Bonga in Nigeria. It was public where we put on sale, we stop the sale because we don't want to lose value on the upstream assets and upstream assets of high quality like this one. So we are replacing it with a varieties, it could take time to execute it. So $1 billion additional is coming from, I would say, fundamentally the M&A, the net investment budget, the net M&A budget, net acquisition budget. And at the same time, again, I repeat it, and its linked to my second part, we maintain our low capital electricity investments at $1.5 billion to $2 billion. On the OpEx savings, we announced $800 million, we - difficult to increase it a lot but together with a bottom-up approach coming from the teams we have set a new target to $1 billion and to be clear, I announced this morning that I've proposed to the Board to reduce my salary by 25% and the Executive Committee has decided to follow this effort with me with 10% until the end of the year. I think it's, for us it's a message of exemplarity within the company. We are asking big efforts from everybody. Again we don't want to release it to no idea to decrease the workforce. We have freezed the recruitment, which means reduced the loss to be honest. We will more or less recruit in 2020 the level of people that we have recruited in 2015-2016. So we are back to these tough years but we have - we prefer to, we trust people who are today in the company to execute all resetting programs and we show some exemplarity by applying this decision on ourselves. You can see on the slide that Refining and Chemical will benefit from $1 billion of energy savings, which will be in fact good for the margin which is not so high because of the demand but it will add, so Refining and Chemical or Refining business to face the situation. So we don't add this $1 billion as a clear saving because it's part for me of the Refining margin, the assumption of Refining margin. And then we have shareholder return, because again, we have to help by ourselves with - we are also to ask to our shareholders some effort, so we are planning at $60 per barrel like we announced in February, a cash shareholder return of around $9.5 billion; $7.5 million plus $2 million, more or less, you know that we have decided immediately to stop the buyback in March, we have, and I will come back on the share - our shareholder return with the mindset of the Board in at the end of my presentation later. So I will not describe it now, but the message that we have proposed a limited one shot skip option and I will come back on it on the last quarter of the 2019 final dividend. But the end, the result is that we will give back to our shareholder return $7 billion instead of $9.5 billion. $7 billion, if you take the slide number four, you will see that the cash flow from operation is around $15 billion, so it makes around 45%. So it's not too bad. So that means that we appraised a lot and we attach value to shareholder return despite these difficult circumstances. We came to next slide. This one I will not comment it long, it's the same slide we used in '15, '16, the four key words which are the motos of the company; HSE, delivery costs and cash. Be excellent of what we control. Everybody I think around the company is motivated. H, because of Health COVID, S because Safety because, of course that's a fundamental, it's been more fundamental, when difficulties are there, not to have any accident and E and I will come back and say, the other part is CO2 and everybody is mobilized on this - on this challenge as well. Delivery because it's the only way to generate cash flow, so increasing the availability the use of our assets. The costs, I've already explained and the cash, no need to say that it's the - of the war. So, growth as the company and like, because of the cash is a growth of the company. Yes, we have decided to clearly reward the people and our top executives on the capacity to release this $1 billion of working capital because it's a, it's also part of what we must manage in the company. So to summarize these next slide. The 2020 action plan, four, five key figures today. Cash preservation $7.5 billion through our cash savings plus $1 billion our working capital release, guidance, production guidance 2.95 million to 3 million. Downstream CFFO, $5 billion to $6 billion and liquidity, which obviously very important to what Jean-Pierre explained you, I think it's key. We have increased it, we have taken actions as well, we never know where the financial systems could go. So we prefer to have some cash in our pockets, in our treasury rather than outside. So net, I think it's a net liquidity, which means it's a gross treasury plus undrawn credit facilities minus the short-term debt at the 12 month of $25 billion and we know - you know that we touch some value to maintaining our grade A credit trading, which we are, where we are today. I would like to before to the give the floor to QA to make some comment next slide on what are the mindset and the discussions at the Board level, on the shareholder return. I'm sure, it's clearly a debate that has been put on the public domain. And I read a lot of papers during the weekend, and interesting papers. I would say the way we look at it we discussed it. First, of course, the first responsibility of the Board is to preserve the future of the company and that's important, but at the same time the Board has strong trust in the fundamentals of the company. And I think if today we have the investment case in Total is referring two major differences compared to some of our competitors, which are these low breakeven another 25% and the low gearing under 20%. And that means that we can use our balance sheet to weather the storm and towards the shareholder return. And I really the discussion, of the Board is that we are convinced that it's a good time to show the difference, and to use our competitive advantage to demonstrate why the investment case in Total is superior to those offered by some competitors. The second element of the debate was, yes, at the same time, unprecedented market condition, extraordinary circumstances. So what is the level of cautiousness but also no overreaction and sitting at the Board. Yes, we have a lack of visibility, but we should not make premature decision and overreact. Let's wait, we can resist. We are - we have some resiliency. Let's see, with the visibility, maybe not Q2, by the way, I think it's better by Q3, because Q3, we will see in the U.S. economy, European economy, the speed to recovery to more normal level. We'll have also better ideas of the way that the OPEC plus countries are really implementing the discipline of implementation of the quota. So, a better visibility as well on the oil market. So we think that it's - we have again the balance sheet to resist. So no overreaction on our side. And I will also say that in the timing issue discussion, it was clear to us, but yes, we can be very quick in Total to make some M&A deals. But when it comes to shareholder, it's better to think twice and we value the long-term relationship. It's a matter of trust. We build trust with time, and we know we can destroy it quickly. So I would say that's the point. So on cautiousness, of course there is a dose of a certain cautiousness as well, stopping the buyback was obvious. You have observed that we have decided that to offer this keep option for only and it's a one shot of keep option, so 2019 dividend final dividend to the AGM. You can see that, so it's again, $1 billion of cash savings. We have, by the way, both more than $500 million in the first quarter. So it's a balance there more or less. Having said that what is important is that what the Board has decided as well, it was not in the resolution, which means that we have rejected the idea to offer the scrip dividend for the full year 2020 because we don't have any resolution and you know in the French legal system, it's the AGM has to decide a scrip dividend. So on the AGM of May 29, only the scrip dividend for the final quarter will be offered but not for the rest of the year. Again, because we are the fundamentals and we are ready and the Board is clear what we can use this balance sheet, leverage the balance sheet. I would also say in the - with the same idea, but in fact, when we look to the size of the dividend of Total, around 7 billion, 7.5 billion depends - its in Euros, so it depends of the exchange rate between $7 billion and $8 billion. When we make about $40 per barrel, there is no problem we can finance our investments, we can pay the dividends. And so we are comfortable and again balance sheet is up to weather the storm. At the same time, that's true, but then I have read some papers and sourcing papers from some of you, but there is an opening debate in our industry, we all have I would say a progressive dividend policy doing several years. Today there are some voices about should we switch to more valuable dividend linked to payout policy like some mining companies. I think this is some dialog we cannot that, which we need to share with our shareholders. Again, it's important to have the inputs and in the same way that we have engaged with our shareholders about the climate policy, I think it's even more important to engage with them at such a topic and to share it. So, but the mindset of the company of the Board and it's why so strong confidence in the fundamentals of company, we have - we prefer to wait and to have a better visibility of the macro environment on the oil markets and to engage and to have the inputs of investors, because if we have to face a longer crisis, if the price remain at $30 per barrel or under for long, obviously, we'd have to take action, but have to be shared with our shareholders. So I've been a little long on this one, but I think now we can enter the Q&A.
Operator: [Operator Instructions] And your first question comes from the line of Michele Della Vigna of Goldman Sachs. Please go ahead. Your line is open.
Michele Della Vigna: Thank you very much and congratulations on the resilient results in such a difficult environment. I had two questions, if I may. The first one is about LNG. We are seeing a clear divergence between LNG prices and Henry Hub, which are leading to legacy margins at least do some. I was wondering if some of these movements perhaps have made you more wary in terms of increasing the exposure to U.S. LNG and have made other projects like the one you're developing in Mozambique actually more resilient and less risky from a basis perspective? And then the second question I wanted to ask you is, if possible, to break down organic versus inorganic in the $14 billion budget and to clarify on the Occidental Africa acquisition if effectively the second part of the transaction with Algeria and Ghana have been canceled or just delayed at this point in time? Thank you.
Patrick Pouyanne: Okay. Thank you, Michele for you questions; always interesting and challenging. I would take the first one on LNG first, you have noticed that our LNG activity has been quite resilient. By the way second quarter from this perspective will be, should be quite resilient as well because in fact on a long-term price we have a sort of six months of delay between the oil price and the LNG formulas. So it's the second half of the year, we should see more impact of the lower oil price. It is clear that yes we face today people talk lot about the oil market, but the gas markets are suffering a lot. It was already because since last year. So we have an exposure to the area but clear. We will, by the way probably we are on the way to I would say cancel some of the of the LNG tankers during summer time in order to limit some losses. It's true that we have on our side, I would say we have projects. We are working still on one project, the ECA projects in Mexico because it's on the Pacific Coast and together how we see a lot of value. You save more than $1 per million BTU of just the trip to Asia. So this one - such a big project. So, this one I think and I think we are in line with Sempra and Mitsui we should move forward coming months. Other projects like the answer is, no. I mean I'll be clear, we are not in a, I mean I'm not very - we are not, today is a priority not to invest more in merchant projects in the U.S. So clearly, we have the extension in Cameron. We'll see with Sempra where we go and a greenfield project like option we have with Tellurian I think there is no reason would be a trend to move forward on this one and that's true as well like you said from this perspective, the acquisition of the Mozambique LNG project is quite - was a different nature. We always explained, but it was a project, which was developed by Anadarko, as we see in the old way. We have long term contracts linked, most of them to oil prices too. And so that was the big interest for us on the Mozambique, not only the size of the resource, which can stay for many development but also the quality I would say, of the portfolio of values and so that's, that's one of the thing, so that's true, but we have already said, I think in February, we have a lot of LNG in our portfolio. We have enough projects not time to it maybe the excess ECA. So status of oxy, and maybe as I told you on, no, nothing is canceled, let me be clear, there is an SPA, which is valid and the long stop date is one year after the Mozambique closing, which means, end of September 2020 and you know the issue, everything is public, because all that has been disclosed to the SEC. So, you can find all the contracts, but the Algerian sale, Occi notified us, but they cannot deliver towards the Algeria assets because of the position of Algeria authorities. We want to keep, we want in fact fundamentally to keep the operator as it is today. So, Occi will remain as an operator and so they did not approve in fact the change of control of Anadarko to Occi, and they approved it, but just to - under the condition not too to sell it. So that means Algeria will not be done unless Occi finds a way to come back to us according to the contract. And on the Ghana, it's - things are moving on, and again we'll not elaborate more on it, because it's a - we have a contract with Occi and so we are - it's between the two companies that we have to decide to move forward. So organic versus M&A, I would say in the 14 of - I'm not sure to have the figures, probably something like 10 to 11 and 3 to 4, 3 to 4 know? Yes. 11 and 3 or 10.5 - I don't know exactly the figure, but just to give you some range.
Operator: And your next question comes from the line of Jon Rigby of UBS. Please go ahead. Your line is open.
Jon Rigby: Yes, just a follow-up on those two questions. Is it possible - there's obviously a lot of moving parts in iGRP and results held up very well in 1Q. Assuming everything else is held flat, what would you estimate would be the effect on 3Q or 4Q results from the fall in oil prices in 1Q, I guess as a way of you being able to make that estimate just arithmetically? And then also just to follow up on the comments you made about Ghana, is that deal still alive even with you not being able to complete on Algeria and particularly, I guess with all the other things that are going out and they were not conceived of in the original contract, it would seem to me is that what you're attempting to call what Occi will be attempting to complete on is a very different transactions, the one that you thought you were getting into a little over a year ago? Thank you.
Patrick Pouyanne: Okay. On iGRP, I mean, the part of the result the part of the reserves, which is linked to the LNG plants, LNG assets is around out of the 900s, around 400 more or less, so this part will be impacted. And you can imagine that if the oil price divided by two which will be impacted in a way, which has to be evaluated for more proportionately. I don't have exactly the figures that is less will come back to you but more or the order of magnitude. So it's not, it's not so big, in fact, but there will be an impact, mainly on the results of the LNG assets on the second half of the year. On Ghana, I think I just answered to you again, a lot of things have changed, including the new environment. So we are working with Occi on it. And as I said before, I think all that is also linked to position of the Ghana authorities and also linked to the environment. But, you knew and you know very well I think that the main - the attractiveness of Ghana was not at the same level when the other assets because it's non-operated assets and so we have less appetite for this one than we had for the other one.
Operator: And your next question comes from the line of Irene Himona of Société Générale. Please go ahead. Your line is open.
Irene Himona: I had two questions Patrick and firstly, if oil were to average not $30, but around $25 for the rest of the year and given the lack of visibility and if you needed environment today, another $2 billion, $3 billion. What is the process of introducing a further dividend scrip, would you call an extraordinary meeting and why not get authorization now given the uncertainties just in case it is needed. And then my second question, just in terms of short-term guidance in the second quarter what can we anticipate for the Group tax rate in Q2, in the current environment compared with 30% you had in Q1 please? Thank you.
Patrick Pouyanne: Okay. I will lead to second one to my CFO, expert in tax and for the first one, now let be clear, now I'm very clear. We know the negative impact of the scrip. We know that there is a dilution that our institutional investors do not like it. We know that we have used it from 2015, 2017, maybe by the way, we keep it too long. I know you take some lessons from the past. And by the way today at when the price, the share price is around EUR42 or EUR40 per share, the dilution effect is even larger. So I mean, it's not for us the right tool. So be clear, the decision is clear. We will not convene any special AGM to introduce the scrip. So it's why it has been very clear and clearly in fact for us it's not the right tool if we have to face, I mean a higher storm like you described. But again, we think that the fundamentals of the Company are good - strong enough and we are comfortable with what we said. I think we have other flexibilities like the one we discussed just before about M&A, which could come to help the company if we need to help more the company. So, I think - so that's clearly for me, it has clearly been a negative decision from the Board about this ID, because again we - the dilution is too odd and has as a negative effect and by the way, you - in fact, at the end you borrow money at 8% or 9%. So I mean - so it's quite expensive. So, no, it's not the right way to reorganize the shareholder returns.
Jean-Pierre Sbraire: And so...
Patrick Pouyanne: The tax rates, Jean-Pierre.
Jean-Pierre Sbraire: I'll take the tax rate question, Irene. So at $30, $35 per barrel, we could expect Group tax rate around 15% taken into account E&P tax rates in the range 25% to 30%.
Irene Himona: Thank you very much. Very clear.
Patrick Pouyanne: And just to complement, Irene, you know that in France when we put a resolution, it's not an option for the Board, we are obliged to use it, so its complex. So it's why we don't want to be tricked to be trapped. We just keep for one year, because once it's voted in France, we cannot decide not to use it, it's not like some of our colleagues in U.K., have the authorization in option, but we don't have it like that.
Operator: And your next question comes from the line of Biraj Borkhataria of RBC. Please go ahead. Your line is open.
Biraj Borkhataria: Two, please. The first one is on some of the details you provided. So thanks for all the comments on the levers you're pulling. One of the big ones is obviously the balance sheet. So you'll be adding to debt over this period. So I was wondering how you think about the upper limit on the balance sheet. I think within your compensation scorecard, there is a 30% ceiling on your net debt ratio. So should we consider that as a hard ceiling? And then the second question is on production volumes. Regarding the shut-ins that you referenced in the near-term, can you comment on what this means for your production capacity into 2021 and how much you lose there? Thank you.
Patrick Pouyanne: Okay, good clear. I think, I mean if the Board puts this, no, it's not the right time to change the variable pay of the CEO, to be honest. So these criteria, we have put in place a few years ago when I took my job on the gearing, incentivizing the management to take to pay attention to that level of debt. So 20% maximum, 30% zero. Again, I'm not, so, I think the objective was clearly under 20%, we do our - or best to be under 20%. And I think we are far from going to 30%. I mean I'm, I have some, we have some room to maneuver there. I think in the simulation with what we said about the working capital release and despite by the year end, at $30 per barrel, we should be around 21%. I think this is what we have simulated, so maybe higher than that. So yes, 30% is more than our feeling, but with my personal objective is to maintain it lower than that, but again we don't take decision and the Board, does not take decision only linked to one of the criteria of the CEO. You know when we came to use the balance sheet and in this exceptional circumstances, we are able to take decisions independently of the criteria. Production guidance, I think, yes, there will be some impacts, in fact, that we when you decide to not to drill some short cycle wells but we don't have the benefit last year, so it's probably around I don't have the figure, I think I read something around 50,000 barrel per day. But again, we saw short cycle, so if we want to reactivate them we will be able to do it as well. So, that's clear, but where could - this could have an impact let's say around 50,000 barrels per day to give you an idea.
Operator: And your next question comes from the line of Lydia Rainforth of Barclays. Please go ahead. Your line is open.
Lydia Rainforth: Just one quick question. In terms of the approach that you're taking around new energy CapEx and I know we'll talk a little bit later but also the digital recruitment going. Can you just talk about how you actually seeing that whether that's changing in terms of the update that you gave this morning? Is the intention still to keep those two businesses largely unimpacted? Thanks.
Patrick Pouyanne: Again, yes, new energy CapEx, which means, what I call low-carbon electricity and it's fundamentally it's either renewables or marketing - marketing B2C or B2B business like the one we have invested in India. We have a budget, which was announced between 1.5 to 2. I can give you probably it will be near 2 and from 1.5 and this year in 2020, because we have already done some deals and certainly organic is also inorganic, we are building a business. So we need to be serious about it. I think it's part of the future of the company. So we'll keep that. And again, we should be around $2 billion, because we have done already these investments in at any and the first quarter has been very active when you read the, if you read the key facts of the press release, there is more key facts on the farm than on the rest of the company. I think 2 gigawatts in India, 2 gigawatts in Spain, 1 gigawatt in Qatar, 1 gigawatt in France. So yes, we think is part of the strategy and this one is - could be considered as flexible, but we don't consider it as flexible, because we are building the broader energy company that Total wants to become. So it's and by the way, I would add another element, which is important. When you look to this type of business, I know that we have a reputation not to offer the same profitability. When I see 10% of return, which is what we are able to do today after in our lower CapEx model when you know we invest in 100% of an asset a renewable asset and when we sell 50% of it and we leverage from this, I would say, farm-down part of the profitability. This type of assets 9%, 10%-plus compared to an upstream asset which is volatile at $30, it's good to have this type of assets as well in the business. So fundamentally, I see these new low carbon energy low carbon electricity assets are bringing to the company and to the Group a sort of more stable balance of revenue. It will take time before it will be at the size will influence fundamentally the global business model. But so, that's all the reasons why we intend to stick to this investment. So that means that if we make $2 billion by the way this year out of 14% it's make something like 13%. So people, I think, so we are slowly growing the investment, the share of investments in this business unit.
Operator: And your next question comes from the line of Christyan Malek of JPMorgan. Please go ahead. Your line is open.
Christyan Malek: And also I hope you and JP too are staying healthy, especially with the [indiscernible] company through this crisis. So a couple of questions, first, regards to the capital frame, the logic of sustaining dividend at these levels in the context of CFFO. And the second question is on the impact of the CapEx cuts in the future oil production. So regarding the level of the dividend now your dividend is substantial if those on the highest it appears the European oil is just under 40%. Regardless of the impact from this current crisis, do you think this is a relatively high level and it limits your ability to spend more energy transition and you will growth to some of your peers have argued that cutting the dividend is a key enabler. But the second question is sort of links into that which is to understand how much oil production has been deferred as a result of the CapEx cuts this year and if you were to just raise CapEx so flipping it around if oil moves higher, would you allocate into new energies or oil? Can you give us a sense of how you sort of reallocate that marginal growth in CapEx? I'm just trying to understand on whether the updated energy transition policy comes at the expense of lower market share and oil all over the medium term. Thank you.
Patrick Pouyanne: I think by the way today, again, we have to as I said in my, in my presentation, we are very comfortable, first. We know that in the oil and gas company, we'll have some volatility and we have to accept a certainty this time to use to leverage its balance sheet in order to maintain a certain level of returns of shareholders. At the same time, again as I said is barrel at the $30 or longer for very long, there is a certain limit to what we can do, you know, but at $40 per borrower, the cash flow generation, if in a stable activity I would say is around $19 billion per year, $19, $7 billion of dividend I have $12 billion for investing, I think we are fine with that. We have - that means, but yes, we have to make some choices and for this perspective on the second question, I think $1.5 billion to $2 billion as an average. We are fine to grow it steadily. This morning you notice probably in the - I will come back on it in the climate statement that we said, that we reached 20% of our capital allocation by 2030 or sooner, which means we have time to grow it. We think that there is also a certain level to build. Is it - so I don't think that these and I understand perfectly the question that we but these dividend at this level is impairing the execution of our strategy. The CapEx cuts impact on this year projection are really minimum. I mean when you have a CapEx program of infill wells that you cater to the second quarter and third quarter, the production could produce is I think matter of 10,000 by the way, this would have been done in countries like Angola where you have some quota. So I think our decision was just maybe anticipating your business decision, so I think it's almost very limited impact in fact for next year. For next year, it has a bigger impact. Where should we allocate capital if we have more cash? Again, I think, to be clear, we don't - we have a roadmap of growing steadily these look up on the electricity business, it will take time, we need to learn, we have to identify the right opportunities, there is no hurry. We are releasing the roadmap for climate until 2050 with some steps. And I will come back on it in my next presentation. So I don't feel that today we have - we have the necessity to free some cash from the dividend to transfer it on increasing the CapEx of this business unit. But if we have more, I think, priority will be to allocate the capital to where we have the higher return. And so if my short-term wells in Angola are quite by the way, they have a good return, 20% or something like that, providing the price come back to an acceptable level. We will react to these flexible CapEx, it's part of the business model we have defined to have a sort of flexibility of the CapEx we allocate also to the Upstream part.
Operator: And your next question comes from the line of Martijn Rats of Morgan Stanley. Please go ahead. Your line is open.
Martijn Rats: It's Martijn Rats of Morgan Stanley. I had two questions as well. I wanted to ask about the Downstream guidance. This figure of cash flow of $5 billion to $6 billion for the year, last year, I think both the various Downstream divisions together generated $7 billion. And this year, we still have multi-millions of barrels a day of demand destruction. I know like 2Q was particularly weak, but across the year it seems like a very small drop for the dramatic events that have just unfold, which I was hoping you could sort of explain that to us. Why isn't the Downstream weaker given the level of demand destruction? In 2009, we saw very, very weak Downstream results across the industry and that was based on just 1 million barrels a day of demand destruction. Honestly I generally sort of don't fully understand how that works. So if you can explain that that would be much appreciated. And secondly, I wanted to ask JP to, what his estimate is of the amount of headroom that exists within the current credit rating that would also be very useful.
Patrick Pouyanne: Okay. So on the Downstream, I think, the Downstream is a mix of different cash flow, as you know, we have the refining where clearly we'll have lower cash flow, a lower utilization, which is directly impacted by the lower demand. The M&S business, you know what we observe in China is one month after the end of I would say the full close of the country, we have reached levels of business, which are around 80%, 85% back to the normality. So if we are back level or coming back quickly in Europe this why I told you, when we think that we could, we could, I would say after we are generating normally yearly around $2.5 billion of CFFO, we give you, but we could lose 600. So maybe we are missing thereby 100, 200 not more. Petrochemicals could do good very well. I mean, so we are optimistic on it. And don't forget that in refining and all these business in downstream are also traders. The trading business, the trading business loves times when you have a lot of volatility and contango, by the way they have borrowed some money from the Group, part of the increase of the working capital is linked to our traders we are storing. So I'm more optimistic than JP2 I think that so working capital of today will be a big benefits of the tomorrow before year-end. So we have to deliver. So all in all, my view Martin is that to be, to give you the full story. I was the one who puts 5 to 6, my Downstream people are little more optimistic, they look more to the 6 to 5, but I am little like you, but I would be surprised to have less than the guidance that we propose you.
Jean-Pierre Sbraire: So regarding credit rating, as Patrick mentioned to you, of course, having a good credit rating is very important for us and to maintain A credit rating is part of our priorities. What I notice is that despite the revised from both S&P and Moody's that was, this was revised in March or in April, we maintain our rating. So that's from our perspective changes from stable or positive to negative on both S&P and Moody's side. It was, it was, by the way the same for all our peers. So it's true that either the prices remains at $30 per barrel, I think as of years we lose one probably. But it's, it's not what has been confirmed as you know by the agencies and so we have to wait and see. At present time S&P it's minus, make makes it calculation using $30 per barrel price deck for 2020. That's would, that's for 2020, 2021 we use higher price stake. So once again if we remain at $30 per barrel over a long-term period, probably we'll not be in a position to maintain this rating, but we will definitely keep A rating. So that's once again it's one of priority.
Patrick Pouyanne: Yes, the A rating has always been linked to the gearing and all these business. So it's important for us, but we have some room there to manage that.
Operator: And your next question comes from the line of Oswald Clint of Bernstein. Please go ahead. Your line is open.
Oswald Clint: Yes, obviously, very tricky to call demand recoveries. Let's think about next year, over the next five years, I guess, and some of your peers are finding it obviously very tricky and some of them have a bit more comfort around the path for demand recovery. So I just wanted to know if you as a team have with your experts and with your people on the ground have formed some view of how demand might recover from here. I mean, jet fuel traveling, people flying, people traveling by car and public transport, et cetera. That's my first question. And then secondly, obviously, quite impressive to see another countercyclical acquisition here in terms of Uganda, it's characterized as low cost barrels. I just wanted to maybe test that assertion. Is it truly low cost including transportation and pipelines? Is it - I mean, at least at the forward curve, I seem to be getting around 10% return. I just wonder what I might be doing wrong there or is there some type of expression of oil prices recovering potentially back up to the $50 or $60 level, please. Thank you.
Patrick Pouyanne: So recovery, I would love to be able to answer to your question, but part of the uncertainty. To be honest, I'm more optimistic about cars and the Jets. The cars, if you observe, in many - in China, is that in fact people are using more their cars because they are afraid to use public transportation than before. So I think once again, people are free to move and that's a question mark. I think, they will come back to use their cars and we expect, I would say, the retail business to come back to certain normality. The jets, I'm more afraid, but for me, as long as we don't find a vaccine or I don't know which medicines, I'm afraid the countries will with close our borders and that there will be limited - it will be difficult to fly again around the world. I mean, because each country, each government will have a first priority to safeguard the health of their people. So I'm more pessimistic about the jet fuel business than for the gasoline and diesel business which is more, I would say continental business than our oil business, but I would love to have a precise answer to your question. On the second one, yes, I mean there is a big huge amount of $1.5 billion to $2 billion, so it's onshore, it's not very difficult to produce. Yes, there is a pipeline, it's true as well. We all know that but we know that when we look to this type of projects, we have some threshold and if we have done this acquisition, which is quite good compared to the previous deal, we have done, we have divided almost by two the cost of acquisition. So it was a, and we have been quick to find a solution which is too low. If we have done it is because we expect at least 10% return on this, even at a lower price.
Oswald Clint: Okay, fair enough. Thank you.
Patrick Pouyanne: I will take just last question and maybe we - after the second session of Q&A, we could take the ones but I would like to move on climate. The last question maybe.
Operator: And your last question comes from the line of Thomas Adolff of Credit Suisse. Please go ahead, your line is open.
Thomas Adolff: Sure. Thank you. Just one clarification on the dividend, I guess the decision on the dividend today, it's not of some of the commentary you made on the call, suggest to me that your view on the macro for the medium and longer term has not changed. So basically, what you're saying today is, let's wait and see COVID-19 may not have any structural implication on how oil is consumed and I want to wait until maybe 3Q 2020, to see how economies recover and what the outlook may be for 2021 before making a fundamental decision on the dividend. Is that how I should think about the dividend and the dividend decision? And then secondly, just going back quickly on LNG and LNG or Integrated Gas contributed very strongly again and it did so in the fourth quarter as well. I wanted to know a little bit more about the U.S. LNG, did they contributed positively in the first quarter and how we should think about the rest of the year? Clearly, when you look at prices today it's out of the money. Thank you.
Patrick Pouyanne: Okay. I mean Thomas, you did not listen everything what I said. I told you, that we have strong fundamentals and what we have time we can use and leverage the balance sheet to maintain the dividend. I think it was a more fundamental message, that I delivered. I also told you that we think that and Board think, that it's premature to take decisions when we see nothing because you could, which means that we'll take, but we put a question mark on the dividend policy on the Q3, I just told you that we think that we'll have a better visibility by Q3 and that it change some fundamental. I mean I'm reading like you a lot of papers. Again, it can change the visibility and the price could remain as I said, because of our inventory, at $30, $40 per barrel, but as I told you also, $40 is very different from $30. So it's a question of appraisal of how long it will take to recover this oil price. On the medium and long-term, no, I think, again, what we said about oil, of course linked to the demand, but you know when you don't invest or your invest - the investments in E&P will again be lower than before the shale oil which was the way to ensure the production will be impacted and quite quickly. According to our model when we, if you have a decrease of shale oil production by 2 million of oil per day this year, and people are more or less reducing their investment it could become 4 million next year. And so, it could accelerate the miss in terms of production. Of course all that is linked to the pace at which demand will come back and that I don't have a crystal ball. So we think that again this type of decisions we have, we have the capacity of our balance sheet and our low breakeven to be resilient to - and not to overreact, but for me the main message and so there is no, I didn't give you a missing point in Q3 to tell you we'll take another decision than dividend, it's not what I told you. I told you that we can be resilient and the fact that by the way, we decided to give up on any scrip option for the coming year is, I think, a clear signal of trust in our fundamentals. On U.S. LNG, I have - I don't know if we know the answer. We know we are short-term, our purchases represent 25% although, sales around 10%. I would say that for me, this part what I know, that in IGRP I can tell you, that in first quarter the trading of LNG has been quite positive. And it's also linked to the capacity to have all these world network of sources of LNG in the U.S., in Australia, in the Middle East, so it's part of the system that we have established. And what they observe is that quarter after quarter, they are improving their results. So I think this is also part of the business of arbitrations between the different sources of LNG, which is a business model they want to develop. So I mean we have some pluses and some minuses but what I observe and it's, but again and even, you know, when we acquired the NGV gas capacity in Europe, it was considered as a burden. Today we are full at 80%, and we make money out of it with all of these type of assets. So I think the message around LNG and one of the strengths of what we have built is more to have a global system with productions and outlets and customers and regas capacities, which allow them to optimize it. Okay. Maybe I should move to the second part of the presentation, which is on climate. Again, if some of you wants to ask question of the first part, I will be able to take them. But I think it's good to have to jump a little more to the, I would say, mid or medium and longer term and to give you some flavor about what we have announced today. I think, in Total, you know sometimes we believe more in values of doing, but not speaking. We are not so good in advertising and speaking. And that's true, but we have spent, we are - we have a strategy that we execute. When I observe what we have done since 2015, we are by far among the major companies in terms of reduction of our net carbon footprint. The best ones, we have reduced our net carbon intensity by 6%. None of our peers have done so well, far from them. I mean, we are really in action. And at the same time, because we are pragmatic, we don't like to put objectives, which are too much aspirational. We are people - maybe a group of engineers, we'd like to be able to see what is the way to achieve the objective of the ambition we put on the table it's why we had until now 2 years ago and we are ahead of the pack an objective to 2030 of 15% of reduction, an ambition of 40%, 25%, 40% by 2040. And it was also clear to us when in September last year, these new message from the scientist that the world should be neutral by 2050, but we have to also to ask all sets of questions. So we put some, we have work together with the Board of Directors. We have also it is important decided because of the road shows in the February. We have met investors more to be honest in Europe and in the U.S., which we are willing to engage with us about this topic, what is your climate ambition. So we have decided with the support of the Board to engage in that dialog with some representatives or some investors which are participating to the Climate Action 100-plus in a positive way. But of course all that was, the dialog was fed, I would say, by all what we have prepared. The company and with the Board and the idea is that yes, we share fundamentally the ambition to become carbon neutral by 2050 together with the sites, and I will come back on all the words of statement and so because also we observe in our tools, with our shareholders, investors, that more and more of the ESG movements are taking credits and so we don't want to suddenly to become a laggard from I would say investors point of view, while at the same time in terms of investments and actions we are a leading the pack. So there was a sort of disconnect. So it was, we say, okay, we need to express this ambition and in the thinking of the Board I want also to say that we see clearly two different package, what we call the Scope 1 and 2. Scope 1 and 2, you all know that now is, all what is under our control. These are the emissions of our own operations and clearly on this one, there is no doubt for us, that we should go to carbon neutrality. We are responsible when we produce, when we refine, when we transport of these emissions. This represent 45 million tonnes more or less today going to carbon neutrality, which means that on one side, we'll work on the technology to reduce our emissions, mobilizing all themes and the net carbon neutrality which means we can use some I would say carbon sinks in order to get to the neutrality. So, but for us it was a clear since I would say the last six month was clear that this was the easy part of it. Then we had a debate about the Scope 3, which is the global I would say ambition where obviously we as you know, we are not the only responsible of this emission, because we sell products, energy products to customers, they are used by our customers. We don't sell a plane. We don't set a car. We don't transform - we don't product cement. At the end, we are not the experts in how should we design the engine of a plane, all sorts of stuff are better than us and we don't know if they should use petrol, oil or gas or hydrogen, or I don't know whichever energy means. But what is clear as well is that this is on the table. So that means that Total, which has an expertise in these or this energy business should work and must be proactive in helping the work to I would say adapt this demand frame for energy. So we said to us okay, we need to be able to express ambition on the Scope 3. It's not, we are not alone, we will not do it alone, because if we express we say to ourselves, we'd be carbon neutral in Scope 3. That means, but clearly I'm just telling you I would this oil business because there is no way to do it. And this is not a mission we have, we think that we have to deliver energy to the world and at the same time when we observe we were thinking about it, we observe that there is one region of the world, which is Europe, which is I would say at the forefront in terms of associate or willingness to go to carbon neutrality. Society in Europe is willing to do it, the governments in Europe are expressing it through a real movement and ambition, objectives. They want to put policies, they want to put incentives, they want to put regulations events in some countries. And so for Total Europe is very important, because it's 60% of our sales today and 60% of Scope 3 emissions, around 280 million tonnes of our emissions are in Europe. And so, fundamentally, we say to yourself okay on Europe, we by the way, we propose to our shareholders to become a European company by statute or next general assembly we have to be proactive and there is no way for us. If Europe becomes carbon neutral that means that - there will not be many thermal vehicles in 2050 in Europe. So we have to adapt ourselves and to be proactive. And so carbon neutrality in Europe, we can take this commitment on Scope 3. So that's a big step towards European continent. And so that's the pieces that we put on the table. And then for the rest of the world and the global Scope 3 ambition, we consider, but today it's premature. It's premature, because Europe, yes, as expressed their willingness to be like that, but some of the parts of the world are not there. They may be take more time. We are open be clear about the Europe will be, I would say is a life of the world and more regions will join the same policies and regulation - same policies and then Total will commit to do it on this region as well. But on the global world, we said, the best way to express our ambition is through these net carbon intensity indicator and what we proposed to decrease it by 60% and I will come back on it. So, but really a comprehensive framework with some free clear steps to go to carbon neutrality. We really share the ambition to get to net zero by 2050. But instead of society, we'll not do that alone and we will not do it again the society, because to be honest, I could get rid of my oil suddenly, but I will sell it and somebody else will produce the oil. So if we net out the climate, the global climate if Total just decide to leave this business. So it's not at all what we think we should do. We have some expertise, we think we can be one of the prominent player of this new energy world and this is what we want to do. So just to - it's a little long introduction, but I think I set the scene in the way that we had the mindset of the management. It took us some time, yes. But no, we are clear of what we put on the table together with again investors and this dialog was very valuable to us. Just next slide, I will be quicker. So you know, just to remind you and if we take that commitment on the new climate policy is because it's sustained by the strategy, as a strategy, I repeat is to become a broad energy company, a multi-energy company but clear that we through this what express today we say yes it will take time, but we will grow and I will clarify it the timing of this strategy and we do it, because there is an evolution of the market. Energy markets you all know that, I will not repeat it, natural gas low-carbon electricity will become predominant, all petroleum products will diminish in the carbon mix and we'll need some carbon sinks and we do it because we believe this low carbon strategy is giving competitive advantage for long-term shareholders value. But, I would say is a key message. So the ambition is sustained by the strategy. If I go to the next slide. So it's just what I've just expressed during my introductions, it's a summary of what we are committing and what we express today as the ambition getting to net zero, so yes we share the ambition to get net zero by 2050 together with the society of our global business, and we take three major steps today. Net zero on operations Scope 1 and 2, net zero all activities Scope 1 to 3 in Europe by 2050 or sooner and globally net carbon intensity reduction by 60% by 2050, 60% or more. We then expressed this in a swing factor in absolute value, 27.5 gram of CO2 per megajoule which by the way if you compare to our peers is the lowest absolute value, which has been put on the table by 2050. So next slide. We also in this paper it's a comprehensive approach, it's not just about metrics and 2050. It's also, of course, it will impact our capital allocation to be consistent with this ambition and in particular in the company today, we are using $40 per ton of CO2 pricing in all the investments. And we also ask our teams to test all this CapEx with $100 per ton from 2030 which will raise the ambition and which will of course with direct part of the capital allocation. And as I mentioned before we will reach 20% of CapEx in low-carbon electricity by 2050, 2030 or sooner. We also made annual review of progress and we are engaged with all the professional organization on these climate policy, but that was already I would say done by Total. Next slide. So these are slides, which I'll just illustrating the free steps that we are taking today, so I will not be very long. The Scope 1 and 2 of course, these net carbon neutrality will be - there will be still some emission because in 2050, our come back on it, we'll continue to produce gas, to produce oil and so we have these emissions. We will reduce it through technology, because, for example, we'll electrify part of our process, we are lowering - we are decreasing our methane emissions, I will come back on it. And we will need also some carbon things and we think that more or less, it will be - the emission will be on the high side around 20 million to 30 million tonnes and thinking that we can develop carbon things of 20 million, 30 million of tonnes at the horizon of 2050 is perfectly achievable. So this, I would say, target objective is clear and I think this will be - we just want to reach. The next one on Europe. So you understand the logic. We are actively supporting the EU ambition. By the way, all Europe, it's not only EU, it's Europe which is extended. Sorry for British colleagues, but it's EU plus U.K. plus Norway, because obviously if we take a commitment on Europe, we have to include the North Sea. Otherwise it would mean a something little tricky. So we include the rule. We think, by 2050 production in North Sea should be very strong, to be honest, most of the decline of these area we think by 2050 again, but the policies will be put in place, we observe already but some countries I think legislations to eliminate any thermal vehicles. So that means that - and we have to take it seriously, because, of course, if we in France of business. So we have time, but we will have to adapt. 30 years is long. So this represents a decrease of 280 million tonnes of CO2. So it's very strong commitment. And third one I will not comment my net carbon intensity, it's just for reference. Honestly, all definition is very near from the one from a Dutch colleague, I would say, but we are working together to align and I think it's a strong message right now from them, I'm repeating the message I think it would be very good if the industry could I would say use the same metrics on this type of net carbon intensity. So we have aligned the way we calculate to - we have - there is limited business and we are making the work together. And I would call like would degree that anybody do the same. So we not commented, but this one is more important. So, but it's more important because it's not only we have raised the ambition in terms of decrease we are so put an ambition of 2050 of 60% or more, we put some intermittent steps. The 15% of 2030 is there. We have realized 6% in five years. We put an intermittent step in 2040 of 35% in order to be consistent and again the absolute value of 27.5 from the CO2 is today's with at sort of target. But I would like to illustrate that more - what does that mean in terms of business for Total. What is - let's keep it. In fact what is mix of supply, what Total could provide by that horizon. Just to give you a flavor of what the company could become and this is why we took this. We took that some time because we wanted to understand if when we put this type of ambition on the table, we can really achieve that and it was the idea that it's a serious matter. In 2015 in Total on Scope 3, sales of Total, were 66%, two-third oil, petroleum products, one-third of gas, 2015 and less than 1% of electricity. In 2019 the mix of the sales of Total, 55% of oil, 40% of gas and 5% of electron, so in five years, we have already introduced this 5%, half of them are coming from renewables, half of them from gas cycle plant, and thanks to this evolution but it is an evolution, we have managed to decrease by 6%. If we want, in 2030 the 15% whether that that meant 45% of oil, 40% of gas, 15% of electronics, and this is achievable. We have done 5%, we both suddenly accelerating to come back to question to be obliged to rush to suddenly we can go steadily around this pathway and that means that we should do in the next 10 years at the same pace what we have done in the last five years as we have more experience, more teams, more ideas we better understand, I'm convinced we can do it. And by 2050 as try to describe what does it mean a company like Total, which would decrease by 60% or more worldwide its carbon intensity we should - we should still sell 20% of oil, but out of the 20% not the same oil, one quarter of that should be biofuels. So that means it's a different product. I would say 15% of oil, 5% of biofuel. But liquids present 20%. So, again still 40% but there again, the gas should be around 80% natural gas and 20% dual gas, either hydrogen or biogas, so that means and this is achievable, that horizon. And then the last 40% should come from electronics and to be neutral to reach it we also take into account some carbon sinks because it's part of the business model. And this is compatible with around 50 to 100 that it's more uncertain constant currency has to be developed, let's say, between 50 and 100 aluminum tonnes of carbon zinc, 50 million tonnes I think is achievable, 100 million would be more challenging, but, but the time if I wanted to describe beyond what is written there in terms of the, what could be the analysis in terms of investment, but clearly Total will remain, again will continue to produce oil, will continue to produce gas, will produce more biofuels, will produce more green gas and yes we'll invest steadily in some electrons coming mainly by the way 40% obviously in 2050 should come mainly from renewables. So that's the evolution, but it takes time and again in 2030 what I just said, we are still 85% hydrocarbon and 50% of electron so and that's important from this perspective. So we can put - we can offer this ambition today because it's linked to something which seems to be realistic and on which we can put allocate capital year-after-year without disturbing honestly the capacity of Total to deliver value from this area of expertise in hydrocarbon but also by preparing the future. So next slide is just, again, I will not comment to show it in February, I told you that Scope 3 requires from us to act on products, which is exactly what I expressed with biofuels and green gas, to act on demand. Yes, we need to work with our customers, we cannot do it alone. We need to work and we have engaged with plane manufacturers, more or less by the way more, I would say the companies we are designing the engine of planes which are more interesting to work with them to see if we could really help this use of energy to change, but we can also take actions on the demand on our mission and today I want to confirm to you two news, which we were not in the press release but we have decided to influence the demand, but we will not sell any more fuel oil to power generation in the world - worldwide from 2025. So, we will give five year to our customers to find alternative solutions. And we think it's feasible. When we look to what we've done, what we have in our portfolio. And on the gas, renewable gas there is on emission, always this debate about me saying when we look to really our operations and particular on the gas fields, because it's key to produce gas, we can observe that we can commit to lower our emission for methane emission from the gas fields to less than 0.1%, which is really minimum and so we is another target where we put in our roadmap and we will come back on these two getting more flavors in the coming months on this two commitment. So next - last slide, I think is a conclusion of my introduction. Repeating our ambition and again keep in mind that is clearly a link between the carbon, the strategy of the company and the way we want to establish and to become this broad energy company producing and selling petroleum products, gas and electrons and another two to be able to feed our mission, which is to deliver affordable and reliable energy to our customers around the world. So now I'm ready to take some questions either on the climate mainly, but also if some asks - some of the questions on the first part.
Operator: [Operator Instructions] And your first question comes from the line of Bertrand Hodee of Kepler Cheuvreux. Please go ahead. Your line is open.
Bertrand Hodee: Two, if I may. One, on LNG, you disclosed some very useful new indicators for the Q1 and it is your LNG average selling price. It is something that is quite difficult for us to model given the some S-curve on long-term oil pricing contract. Can you give us a flavor of what could be assuming spot LNG seen at the same price basically your average LNG selling price in Q4 let's say with $30 of about in Q2. And then the second question is on LNG, but that relates now to the energy transition and your ambition of getting to a zero - net zero for one and two. LNG activities are quite, I would say CO2-intensive [indiscernible] and also liquefaction process highly energy intensive, how can you improve the carbon effectiveness of your existing LNG plant and what is - do you have a view of the LNG plant of the future? Thank you.
Patrick Pouyanne: So the first question I already tried to answer before. I told you that, in fact, is indicative by the way. Yes, we thought it was important due to the size of the LNG business to give you more information because of gas price, honestly, that is the average of for many local business LNG business. So you will have this indicator from now on every quarter. As I said before, we see a very little impact and think should stay around $6 more or less for the next quarter because there is a time lag within the formula are more or less a six month. And then after, of course, we will have to see the impact and let's say around $4 from the second-half probably, because the impact will be - will come from the lower oil prices from the second-half. So $6 during the quarter and then $4, average for the year should be around $5. And the second question LNG it's is a very important question, of course. By the way when you I'm always assumed about the debate about LNG is CO2 intensive by all its form. You know LNG plant is like a refinery for oil. So when you compare both chain you should compare oil and a refinery to gas and LNG. That's true, but for the existing plants, to be honest they are already built. It's not easy, you can work in particular, wells and the plant itself, the plant itself are designed. So it will not be improved. You can also improve and lower the emissions from the transportation part from the LNG tanker part, there is still some, it's easy to improve the technology, it's an industry where we are losing. We are, you know we can do better. And there are really some improvements on the way with LNG tankers are designed and that's part of what we work on it. The new plant should be electrified. You see the one we want to build in Oman. We have a small project in Oman of LNG plant for bunkering and the beauty of this plant for me the big interest in this plant is not only to produce an additional 1 million tonne of LNG and to develop bunkering business, it's a full electric plant, designed like that and it's a way to test this technology and the full electric LNG plant is lowering the LNG emissions by lot. And so, I mean that type of and again example from is the best way in most of the processing of gas industry to eliminate CO2 emission is to go to electrify is a processes like what is done in the North Sea by one of our colleague. I think it's a future of this industry and this is - our engineers in the E&P are working on this type of technologies.
Operator: Your next question comes from the line of Christopher Kuplent of Bank of America. Please go ahead.
Christopher Kuplent: Just a few more questions and perhaps clarifications, if I may. Patrick, your CapEx cuts that you've announced for 2020, how quickly do you think you will go back towards let's say originally intended $14 billion organic CapEx number? How related is that trajectory to the macro environment? And in other words what can you do in 2020 - I'm sorry 2021 and particularly thinking about FIDs that I suppose will be coming up over that timeframe, whether it's Uganda, whether it's Papua New Guinea, Suriname, Nigeria. If you could, give us a little bit of labor there? And the second question, linked to your net carbon footprint outlook a little bit longer term, it wasn't so long ago you talked about a DPS CAGR commitment of more than 5% per year. I'm assuming that when you look beyond the next one, two, maybe even three years, that's still something that you will remember in a few years' time. If you could, let us know where you stand on that dividend outlook. Thank you.
Patrick Pouyanne: It's quite easy to answer your question. You make the math. If you want me to spend $14 billion, I have $7 billion to $8 billion shareholder return. So I need $21 billion, $22 billion and I need something like $45 per barrel, so I will come back to this level of investments when we'll have this type of outlook for the price, let's part of it. And again, keeping some flexibility on the organic CapEx. So I mean for 2021 honestly I have no idea today premature. We are, I know what figure we had in our long-term plan last year, but we will do again the business plan, we'll do again the exercise with some - we are very comfortable, like I said before at $40 per barrel. And again, you would tell me today, it was the discussion of the Board. What would be your guess for next year. I answered, if I had to give to my teams and assumption for the budget, but thank God, I don't have to deliver it today in March or in April. I will give us in July. I will probably give something like $40. So at this level, we know what we can, what type of capital allocation we can make, that's the first answer. On the second question, what was the question? I don't - I lose the second question, sorry.
Christopher Kuplent: It was regarding your longer term outlook, regarding the DPS.
Patrick Pouyanne: No. Okay. Little bit clear. It was clearly the dividend. Now, the dividend was clearly linked to both, I mean, we are more in a stable environment. It was above $50 per barrel, it was linked to the growth of the volume, as well remember we are speaking about the production growing from 3.1 to 3.2, 3.3 and stable during two years of his outlook today. Today we have, we are no more about $50 and we are no more at the same level of production, because of quota. So I have two sources of lack of growth. So a little bit lack of, I would say, cash growth. So it's affected - it's not affected by Net Zero at all, let's be clear, no, Net Zero will not influence that, to answer to your question. So I'm still committed to it, but obviously we stopped and you have observed that we - the Board has decided to stick to the stability decided to stick to the stability of the interim dividend compared to the one last year ago because it makes no sense in this type of environment to grow by 5% something that there is no more growth, which would have been very odd to take such a decision when others are just deciding to decrease it by more - far more. So I mean it's still there, it's still in my mind, but for the time being, honestly in this market conditions, maybe it's slower, let's wait 2022 or 2023. I'm optimistic, one day or the other, where we will come back to normality. And then lack of investment could translate in - will translate in higher oil price.
Christopher Kuplent: Thank you, Patrick. Can I just quickly double check on your first answer. What is a lower budget. Let's assume $40, as you said, into 2021. What does it mean for a number of those flagship projects and how quickly you think you'll be able to FID them?
Patrick Pouyanne: Again, it's $40 per barrel, I have $19 billion of cash flows. I serve you $7 billion, so we have $12 billion for CapEx. Then if I want to invest more, I will have to divest more.
Christopher Kuplent: I guess I may not have been clear, but maybe you can prioritize a little bit. Those projects that haven't been FID's, I guess were meant - yeah?
Patrick Pouyanne: Yes, sorry, I missed that part of the question. So top projects, honestly, let be clear, the projects we have sanctioned we don't stop them, so Mozambique is moving on in the right path. I think for me, among the top projects, we will have obviously Uganda, we are investing in Uganda, so the idea is fundamentally to move on Uganda and as soon as we can. I think we made that investment to deliver it now. And I would say also we have to look to projects like our discoveries in Suriname, could - which seems to be quite promising. So it could become as well, but the way to run the project will be obviously like always in Total, by the - I would say, breakeven cost of each of them and will invest the money on the ones which are the most efficient. On the other side, as I answered before to Michele, I don't think we'll have a lot of LNG projects except maybe ECAs in the coming year in terms of sanction.
Operator: Thank you. And your next question comes from the line of Lucas Herrmann of Exane. Please go ahead. Your line is open.
Lucas Herrmann: Patrick, afternoon. Thanks very much for the opportunity and I'm glad you are all well. To ask one on the former presentation and then move on to climate. On the - in you presentation earlier on, I just wondered to what extent what we've seen over the course of the last three months, particularly the behavior of suppliers not least the commencement of the price war at a time when it really don't seem hugely appropriate there is influence the way you think about the commodity in the Upstream business going forward. And I guess that becomes increasingly relevant given everything around climate change, shifting in portfolios, there's clearly the growth opportunity in hydrocarbon starts to moderate you'd expect the competition for the business that is actually available to intensify. So, sorry long way of putting it, but first question just how what's happened in recent months to month suppliers has influenced your thinking? And then moving to the portfolio going forward, just a couple of simple questions, if I might. When you talk about, you say, sales to customers, I'm never quite sure whether that the products that you source for that you produce yourself or whether it's increase of products that brought in whether it be electrons or whether it be oil barrels itself. And do you expect to grow energy supplied to the market? I guess, own energy supply to the market over the period to 2050. And the question simple, it's purely that there is an awful lot of energy associated with an oil molecule. You need an awful lot of electrons to substitute. Thanks, Patrick.
Patrick Pouyanne: Lucas is also with very good questions to make - allows me to think. Thank you, Lucas. I would say, the first one, it's clear that honestly what I've observed in my first reaction is that this industry, the oil industry, obviously has a real difficult to manage itself, and has a good capacity to create huge volatility and frankly when you observe that at a time where the demand declines, people decide to increase the supply. You are a little - you say to yourself we have an issue, and I'm not in control. We are not in control of it we are as a company. And so that means that it's clear that it obliges us to think. And the conclusion I first way I said to my colleague, when we said that we sanction at $50, it's clear that we sanction at $50 and stock coming sometimes to me we have a $55 or $60, because that means that all this math that we do in economic models, we have a $50 flat are just wrong. And you can be it when you start a project we suddenly $20 per barrel price and it's the value is not the same. So I think, the first lesson for me is, yes, there is a strong volatility. And what I said before when I answered to one of your colleague, from this perspective to one of your colleagues. From this perspective, it's clear that in the business model of groups, energy companies to try to find. So our less volatile businesses which are offering for profitability, acceptable profitability could make sense and you know when you have access to some long-term renewables PPAs, there may be less, less volatile and give a balance within the business for that of a company like Total. So I think it's clear that it gave - it give some momentum to develop this type of business. Today in the company, we have this marketing and retail business, which give this type of stable revenues but if in the same time around next 20, 30 years, people don't want to use petroleum products to run their cars, we'll have to find substitutes in our portfolio to this type of more stable cash flow businesses. So that's why I'm there but exclude but it does influence I would say my the feeling that it's clearly a very volatile business and that you need to be very stringent on the way you improve the projects and more than ever and it's accelerated from this point of view, the fact that economically, we could be - we could face oil business with lower demand, a decline of demand. So that means that let's be very selective on the projects we sanction. On the sales to customers, now let me be clear, when we speak about in Total, we strongly believe that you need to be along the chain. So it's not only selling, but it's also producing. So, but here there could be - there could be some imbalance at a certain point of time, but the strategy within the company and it's clear, you know if you want to develop a pure B2C portfolio in the electricity and you just go to the market to provide your supply you will not make a lot of money, I can tell you, maybe your traders would be happy, but you don't make a lot of money. So, and again I think it's the same idea fundamentally that we have in the oil business of the gas business, we want to have some customers, but we also want to be able to produce and in electronics we produce it either from - mainly from the renewables probably in the future, but also from gas-fired power plants and we make money out of it. So especially in Europe - in Europe, a continent like Europe which is willing to exit from core more or less from nuclear at the end, if you don't have a base load from gas I don't know, where it comes from. It has the flexibility to cope with the intermittency. So the ambition is on both sides, even if the famous Scope 3 to come back and that's why we are not so we don't like Scope 3, the Scope 3 only reflects products we sell and not so we could also sell from third-party but the strategy is more to integrate the value chains.
Lucas Herrmann: And energy growth, will you be selling more energy?
Patrick Pouyanne: Yes, we are selling more energy in our model. Yes, if I want to, yes, it's a good question and I gave - I gave you the percentage of the portfolio, but in fact, if you want to reduce by, by 60% at the end you sell more energy, you sell more energy.
Operator: Thank you. And your next question…
Patrick Pouyanne: We have to wait until September to have more clarity on this sentence. Okay. Next question.
Operator: Your next question comes from the line of Lydia Rainforth of Barclays. Please go ahead.
Lydia Rainforth: And just two from me as actually. The first one is just in terms of the interim target that you set of let's say 15% for 2030, there seems to be slower pace [technical difficulty] the 6% reduction in carbon intensity for 2015 to 2019. Is there any of the end of the 9% over the next 10 years and again the ambition for your Scope 1, Scope 2 emissions doesn't seem have the same pace of improvement coming through. So is that just as an effect of you did the easy stuff very early on and it now gets more difficult. I'm just trying to work out whether that's a cautious assumption around where they carbon emission reductions come through or whether it's just got more difficult. And then the second question was in terms of the net zero ambition for Europe, does this work without a material step up in carbon prices? And I know you talked about $100 a tonne in terms of that 20 - from 2013 onwards. But do you actually think that's a realistic policy chance of getting that through in Europe to make those changes? Thanks.
Patrick Pouyanne: Good questions. The first one is you are observing our figures. At the end the fact that we are already at 6% it will become a detrimental to us. In fact, no. We had some easy, so low-hanging fruit. You know, we decided in 2015-2016 to exit coal. So when you exit a business like coal, it give me immediately 2% or 3% but it was a decision, which we decided also to eliminate some, some cash flow from operation because we are making more or less $50 million or $80 million per year. So that's the reason why. At the end no, we don't slow the pace of CO2 reduction. It's more again capacity of allocation of capital. I don't think we are cautious. I mean, even when some people around the table, look through the figures they think we could - we should really continue to work like we have done. If we can do better quicker we can do it, we'll do it, but you know, we are not alone in this business, you know. I think we are facing competition and bigger we will become in this business, the more the competitors will also be aggressive. There are quite a lot of people working on the same IDs around energy - I mean, decarbonize energy, renewable business. So we have to also to be pragmatic. So, no, it's some step of it is done, we have already made some investments, we'll have to do more, obviously, to continue to develop to grow the business. And so, it's a more or less, as if you remember the figures I gave you, I told you that we should have - it's increasing every year an additional 1% per year of Village Farms in the portfolio, in fact. So it's 5% after five year, 15% after 15 years and then you continue. So it's, it's not a reduction, but it's not an acceleration as well. It's to do it in a pragmatic and profitable way. On the second one, yes, you are very true, but I don't see - I mean, to be clear, if Europe is - I think the Europe is serious about the climate. If you want to be carbon-neutral in Europe by 2050, there is no other way to step out the carbon pricing, I mean that's clear. We will develop - I mean, I didn't mention that we are participating with Equinor and share in Norway through the first large-scale CC U.S. projects and life projects. When you take out - there are lot of subsidies from the Norwegian state, but more or less the dollar per tonne, as a production is around $180 per tonne of CO2, which means that this type of project, of course, we can think that we will improve them in terms of efficiency in the future even if, to be honest. There is no - the room for improvement. It's a well, it's a plant, which is shifting gas. Maybe on the transportation system, we can do better, but that means that these type of CC U.S. projects would require a price although one of the, if they want to become commercial businesses. And if you want really to be at all, Europe is serious about the climate change, about the carbon neutrality, that means carbon pricing. We have to take that into account as well, when we think to future allocation of capital, but this will become - it will become a reality. Then all that will take time, because if the society wants to be neutral, as you know the citizens are always looking for their pockets. And they don't want too much to pay for it. And you know, the best business that we had in the last quarter for Total in Europe was fuel oil, heating fuel oil, heating oil. The French people have rushed to fill their tanks, because it was a very low pricing. I don't think it's good for the climate, but this is a reality of energy business, so this where you have a debate of do you manage at the same time to have an affordable energy and a clean time to have an affordable energy and a clean energy, and that's the more energy with less carbon but the stronger challenge of the industry.
Operator: Thank you. Are you ready for next question.
Patrick Pouyanne: Yes.
Operator: And it comes from the line of Martijn Rats of Morgan Stanley. Please go ahead.
Martijn Rats: I had two, both related to the discussion on the climate and the move into low-carbon electricity. I was wondering if you could talk, perhaps a bit what you think are transferable competitive advantages from your traditional oil and gas business into this new business as in electricity markets like oil markets. What is more global, what is more local, regulatory changes, but then again in many, many businesses, I was wondering what's your view on, on this, on this issue is? And the second question I wanted to ask, when it comes to this transition, I was wondering if you, if you, if you regards your own cost of capital as a disadvantage building out a New Energies business? Does it require lot of money sort of chasing these, these renewables opportunity and it seems very, very competitive and quite a lot of auctions for offshore wind projects for example, seem to be simply won by people that have very low - very low levels of cost of capital, and I was wondering whether you believe that with a coming from a traditional oil and gas back backdrop, cost of capital is a source of competitive disadvantage?
Patrick Pouyanne: So, I would think the advantage of one of the advantage maybe what we have done in the last quarter is a good example, is that oil company like us we are - is able to deploy of this business in many, many different countries. Finding the best opportunities. Look what we have done. We have been able to have access to 2 gigawatts in India, 1 gigawatt in Qatar, some in Europe. So I think the capacity that we have because we have a world footprint to work on many geographies and to identify the right opportunities because we have several oil linked by the way in India it's interesting because we developed this relationship because of the natural gas, LNG and then we move to renewables. So I think that's something that many when you look to people, who are more dedicated to these electricity business they are quite the leaders are more focused on Europe plus Americas, south or north, so maybe very - so I think there we have access to Qatar story of course wobbling to all the capacity to develop in Qatar. So I mean I think that's an advantage. I think you said that when you speak about the offshore with this is very obvious, but there are some technologies and in Total for example, what we have decided is that the offshore wind team is embedded in terms of technology and projects within the E&P division, although it's very good because the E&P guys we are afraid to have less jobs. Today, we are very excited by developing all their knowledge, but floating units for this offshore wind floating offshore wind. So there is some links, which can be done, the scalability of it also. So I'm, I think there is okay that's true but, offshore wind is giving more technologies, so if it's more just, on sonar field, obviously there is more of the size of the capacity that we have to finance large projects because the project itself are less complex, but we can also if we win these industry, you know, we made for example, some new recent deals in Spain. What we bring in Spain is a capacity to mobilize financing, because we have a lot of developers. Today, we have a lot of ideas, but not money, so we can come and bring their idea to reality. So I think they are I mean we have some advantages of course we face competition, but it's also, I don't see why it would not managed by diversification. On the capital - cost of capital again but through it today with the year we are offering to our shareholders quite expensive but I hope that the fundamental idea is that we re-rate the share of Total by being disciplined on our dividend, but also by developing these low carbon business. Today that is a little bit advantage again but true, but I'm asking my teams to be able to deliver to the Group more than 10% of return, which oblige us like we describe the business model, when we develop 100% project to farmdown 50% to companies who are ready to pay NPV 5 like we've done, again, recently in two or three countries. Honestly it's not a real issue for us, but to share this project at 50%, but and to keep a certain discipline of profitability, I think is also good for the global future of this business because today it seems quite easy to obtain some long-term PPAs with I would say stable revenues. When you go to more merchant renewable project the volatility could be stronger for the level of profitability will be higher requested by the investors. So it's not a disadvantage the method of managing the business in other way.
Operator: And your next question comes from the line of Anish Kapadia of Palissy Advisors. Please go ahead.
Anish Kapadia: I have a question on the impacts of COVID obviously you're seeing some short-term impacts. But I really wanted to know what you think some of the structural shift will be on the supply side for oil and gas and how you see that influencing your longer term strategy. So things like decline rates, the change in production from the U.S.-based gas and oil, any permanent supply destruction and kind of LNG market. So how is your thinking on those effects in your longer-term investment strategy? And then the second question was on your earlier presentation. If you're talking about $100 per tonne carbon price in terms of the testing price, can you talk about how you get to that kind of price? And with the assumption of 50 million to 100 million tonnes of carbon zinc, is that implying a kind of cost of that of $5 billion to $10 billion over the long term?
Patrick Pouyanne: The first question, we can take a lot of time to answer to that. I think - okay, COVID first as an impact of short-term impact on the demand, but once we will find the vaccine or other tools I think we'll exhibit. I think this will have clearly an influence on the things a development of shale oil in the U.S. I think my view is that over the last year since the last two years we've seen investors more prudent about investing in shale oil requiring cash flows out of it. Obviously on the top of it today, it appears to be that this - it may be flexible, but it's not a low-cost source of oil. So I think this could influence the global landscape of the oil supply in the world more fundamentally, but just during the COVID period, people forget, but maybe not and I think it could impact the way that people would be ready to invest in this industry does not change a lot at all, my view it's even gone more comfort to the views of Total, but we will not invest in this one. On the gas in the U.S., it could have a different effect if you have a lower production of shale oil, which means that the gas as a shaky too low to shale oil could diminish then it could influence the same times of price of gas in the U.S. in view of the way. So we have to look at it and in particular, because as we are investing in LNG in the U.S., should we integrate on the gas for the longer time, that's for the longer term. That's a question mark. I'm not sure to have implied to have fully understood your question about $100 per tonne. The idea, fundamentally idea is to ask our colleagues when they present an investment case in particular on hydrocarbon, which we go beyond 2030 to test towards base case for Total, but to check, what it gives is a carbon prices reaching $100 per tonne, to see the influence and it's a way to test them against I would say, carbon neutrality business. So what was the - I'm not sure if I capture for correctly Anish, your question?
Anish Kapadia: Yes, it was more given that you will need to invest around 50 million tonnes plus of carbon zincs, what's the expected cost that you're thinking that will be associated with that based on carbon, could that be kind of $5 billion per annum in terms of cost…
Patrick Pouyanne: No, no, no, it's not that because 50 million tonnes of carbon zincs, there horizon some saw I would say a natural based solutions and the natural based solutions we begin to work on it more on [indiscernible] you have plenty of projects of natural based solution. So if you consider that half of them are natural basis something like $250 million, over half is around - are coming from CC U.S. that means that you will use 25 million tonne, let's say, $100 per tonne because the technology should, more or less, be at this level, is at 2.5 billion. So it's more around 2.5 to 3 billion in 2050, we have time.
Operator: Your next question comes from the line of Irene Himona of Société Générale. Please go ahead, your line is open.
Irene Himona: Thank you. Patrick, I had one question on climate. As you said, you cannot control the emissions of industries like cement, autos, and so on. Do you see any advantage in partnering with some of these energy in terms customers let's say to help them address their emissions, the emissions produced when they, when they use products that they buy from Total, it is something that one of your peers is to you. Thank you.
Patrick Pouyanne: Thank you. Hello? Who is there?
Operator: [Operator Instructions]
Patrick Pouyanne: Is it okay?
Operator: You are in conference, sir. [Operator Instructions] And the line appears to have disconnected sir. There are no further questions.
Patrick Pouyanne: So the game is over.
Operator: We have no other question. The floor is back to you for closing.
Patrick Pouyanne: Okay. I will close. So Irene, I understand you ask a question, sorry we have been disconnected, I'm afraid. It was a mistake. My mistake. So Irene your question about partnering with industrial clients cement producers. Yeah, I think it's fundamental idea, we have engaged in many, we need to act on demand, so to act demand, we need to work with others and I have pushed my teams to take some time for example with plane manufacturers or marine industry and still we are working with still companies to see how we could think and change the way they produce energy and looking through of a source of energy rather than on the oil. So that's part of what we want to proactively work on and the commitment we take, by the way it's well expressed in the joint statement that we have signed with the climate action one plus is also part of the commitment, which is to bring some of our competencies and capabilities to help to change the energy use of our customers. So thank you for this long call. I think it's was the last questions. I know we have been quite long this afternoon, we've covered many topics. Maybe in this extraordinary circumstances we need to have a solid recourse. I hope we have answered to most of your questions. And again, I think the message that we want to deliver to you is that, Total, I think even if this time saw very turbulence, we need to stick to our strategy. The fundamentals of our strategy and I think more than ever the fundamentals of actions are clear for commodity company like Total, looking to our delivery, looking to our costs, managing our cash. And things are course for the long-term strategy and I think it's a good signal, but today, not only we speak about the short-term and also about the medium and long-term strategy for this climate condition. So thank you again for your listening, for your support, and we hope to meet you soon all of you. Thank you.
Operator: Thank you very much, gentlemen. Ladies and gentlemen, that does conclude your conference call for today. Thank you for participating. And you may now disconnect.